Operator: Good day and welcome to the First Quarter 2014 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Harry Vafias. Please go ahead, sir.
Harry N. Vafias: Thank you, and good morning, everyone. Welcome to our conference call and webcast to discuss the results for Q1 2014. I’m Harry Vafias, the CEO of StealthGas. I would like to remind you that we’ll be discussing forward-looking statements in today’s call and presentation. And regarding the Safe Harbor language, I would like to refer you to Slide #1 of this presentation as well to our press release on the first quarter results. With me today is Mr. Stavros Papantonopoulos and if you need any further information on the conference call or the presentation, please contact Stavros or myself. Let me begin by saying this has been a very busy period for us lately. We closed the last quarter with significant improvements from the fourth quarter of 2013, our sentiment improved for LPG shipments and that led us to conclude a number of new charter arrangements. At the same time, we took delivery of one new building eco vessel vehicle stream and we increased our new building acquisitions to one more vessel bringing the total number of vehicle LPG ships to be acquired to 17. We also concluded a number of financing deals for these ships and by now almost all our vessels have been committed to various banks. And finally just few weeks ago, we concluded a secondary offering with 12 months with institutional investors including members of my family we have brought in another $47 million. So let us begin our presentation with Slide #2. As you can see, we are the leading company in the LPG Handysize segment. We owned 39 LPG ships and 4 tankers and with the additional vessels to be added to the fleet. We intend to solidify this position and gain market share by capturing about a quarter of the global pressurized market. Due to the increasing interest in our sector, we have seen some consolidation lately and that brings our second largest competitor to about half our size, while overall the sector still remains largely fragmented with opportunities for further consolidation. We continue to focus on the young fleet that will give us operational and commercial advantages. While the current average age of our fleet is 11.3 years below the industry average, we aim to lower it with additional vessels that will enter the fleet. We continue to keep moderate leverage at around 40% and intend to finance the new vessels at levels around 60% debt value. We continue to maintain the conservative chartering strategy that has made this company so successful in securing a visible revenue stream with a predictable cash flow on average profitable to do so. At the moment, fixed employment for our fleet stands at 74% already fixed for 2014 and 50% for 2015 with the rate of charters expanding until 2022. Finally, I believe we will continue to manage these vessels more efficiently than any other public or private competitors and that by growing our fleet further, we will be able to take advantage of additional economies of scale. Our net income break-even level per vessel per day for the first quarter, were $6,250, which puts us comfortably in the profit-making territory. In addition, modern eco vessels can achieve significant savings in operating expenses and that is one of the reasons why we focus on renewing the fleet. Slide #3. This slide demonstrates our fleet operating profile and provides you with the earnings visibility for our fleet. In terms of charter types out of the fleet of 42 ships, we have 15 on bareboat, 24 on time charters, and 4 in the spot market. During the first quarter, we showed the market strengthening reflective of our announcement of the extension of six bareboat charters, including one recently delivered eco vessel and one of the new eco vessels that will be delivered in the first half of 2014. Most of our spot vessels are currently employed and we will seek to find more medium term charters for our ships. For 2014, 74% of voyage days are fixed, 50% for 2015. We have a number of charter expanding up to 2022. We continue to seek opportunities to employ our vessels on medium and long-term charters, and we will try to keep the same levels of charter coverage going forward. Our relationships with the world’s largest and more stable energy companies, energy traders, and industrial companies with the highest creditworthiness minimizes our counterparty risk. It’s very positive that we have secured contracted revenues of above $210 million up to 2022. Slide #4, as previously mentioned, we intend to grow the fleet significantly over the next 1.5 years. We believe the market fundamentals justify a more aggressive growth strategy than we had in the past years. We now account 43 vessels in our fleet, including our tankers and by the end of 2014, we will have added four more new buildings going to 47 vessels. And by the end of 2015, we will be adding another 13 vessels going to 60 vessels, 56 of which will be LPG vessels. This means that we have committed about $350 million in capital expenditures and we have already spent $70 million of these. That leaves us with approximately $270 million to be paid, out of which $70 million is in market for this year and $200 million for 2015. Out of this $270 million in total CapEx remaining, we expect to see finance proceeds of about $240 million. That leaves us with only about $30 million of remaining equity. We already have committed finance for 16 out of the 17 vessels. And the last deal has been occurred last week for the finance of 2,500 cubic meter vessels for delivery is expected in the second quarter of 2015. As you can see with the cash balance of over $150 million today, including the latest proceeds, we can confidently meet these requirements and in fact we are looking for additional acquisitions as we have some more news for you soon. Slide 5, this slide explains what LPG is, is obviously a byproduct of natural gas production and crude oil refining. This slide illustrates StealthGas’s hub and spoke trade model. In the backdrop of a growing export capacity in terminals held by enterprise in Targa, we have seen a concentration of interest on the VLGCs to carry large LPG cargoes on long haul routes. However, this has obscured the fact that there will also a need for a bigger fleet of smaller gas vessels to serve those customers in the regional market final destinations in the Caribbean, Latin America, Atlantic Basin, Europe and the Far East. While the U.S. is still a developing story, we believe that our fleet could benefit from increasing product supply especially if the markets at the time are already tight. Slide #6. The chart below highlights the steady growth of in the national seaborne trade for LPG since 2010. In 2013, 65 million tons of LPG were transported by sea and the trade is expected to increase by about 50% to about 100 million tons by 2017. The main key driver behind this steady growth is firstly the growth from the emerging countries especially for domestic use and the increasing distance between LPG production, feedstock supplies, and the endusers. Currently, residentially market users are mainly concentrated in Indian, China, and South America, whereas the Middle East and Russia mainly use LPG for the petrochemical industries. LPG needs to be shipped due to the limited domestic gross demand, high storage cost, and the Kyoto Protocols prohibition of gas venting and flaring. The U.S. LPG prices support exports. The price differential between U.S. propane and the Far East and Europe keeps enquiry for exports rather high. This is a welcome development for us since more supply will be coming in the market and its known LPG shipping is a supply driven industry. Slide #7. The U.S. is shipping more LPG than ever as a byproduct of the record natural gas output. U.S. market share of global seaborne LPG exports is steadily increasing and forecast is to quadruple by 2017. The U.S. LPG exports are primarily going to Mexico and South America. As a result, we have increased the number of vessels deployed to the region from two to five and increasing demand is also likely to come from the Far East and Europe. The U.S. Energy Information Administration projects that the U.S. will continue to be a net exporter of LPG through to 2040, mainly because of continued decreases in natural gas and oil production. The main key driver behind the steady growth is firstly the growth from emerging countries especially for domestic use and the increasing distance between LPG, feedstock supplies, and endusers. Residential market users are mainly concentrated in Asia and South America. The major driver for this growth is the construction of propane dehydrogenation units, plants to ease the ongoing shortage of propylene in China. The plants use propane to produce propylene. Around 10 PDH plants are expected to start production within the next four years and could require up to 4 million tons of propane per year as feedstock. Chinese imports are expected to increase significantly in order to meet the demand generated by these units. As a feedstock for the petrochemical industry LPG consumption in the Middle East is also expected to sequential double growth and reach 36 million tons in 2016 from the current 26 million tons representing an increase of close to 40%. Slide 8. Despite moderate growth in the total LPG future seaborne demand exceed supply more than any other segment in the shipping industry. It shows expected that future seaborne demand will out strict future supply, in the market we will remain undersupplied for well after 2014. Looking at the following chart that compares demand less supply in the voice industry segments the high LPG bar discuss the excess in demand in the market and explains the recent jump in the flat rates over the larger LPG ships. The VLGCs recently operating the spot market with charter at historically high levels earning as much as $130,000 a day before selling at about $70,000 daily. I will now hand you over to Stavros Papantonopoulos for some brief comments on our first quarter results, our financial position, and later we will discuss the markets and industry outlook.
Stavros Papantonopoulos: Thank you, Harry. Good morning, everyone. So let me continue the presentation with Slide #9, the financial highlights for the first quarter of 2014. With an average of 42 vessels owned and operated in the first quarter compared to 37 last year, our revenues came in at $33.9 million, higher than last year’s $29.4 million. This increase was primarily due to the increased number of vessels in our fleet, but also due to the impairment charge market whereby the utilization of our fleet improved to 98.3%. Our voyage costs decreased to $3.1 million from $3.5 million, because we had fewer vessels under spot charges in the year 2014 period. Our operating expenses increased to $10.7 million from $8 million last year. This was primarily due to the result of the increase in number of vessels operating in the 2014 period, including both the vessels that were added to the fleet and vessels that came off bareboat charters, which we operate under the time charters during the first quarter of 2014. We also had dry docking costs of $0.4 million compared to $0.5 million for the same period last year. One vessel was drydock during each period for the remainder of the year, we do not have any other vessels scattered to be drydocked. Interest and finance costs are $2.1 million were similar to last years $2 million. Total debt at the end of the quarter was $359 million compared to $356 million last year. Our net income for the quarter was $7.6 million compared to $6.5 million last year, including a net income figure is $0.5 million gain from fair value changes in interest rate derivative instruments. Excluding these are adjusted net income figure for the quarter was $7.2 million compared to $5.3 million last year to significant 36% increase in the bottom line. Adjusted earnings per share for the quarter were $0.21 or 33.8 million average shares outstanding compared to $0.26 or 20.5 million average shares outstanding last year. The increase in the share count led to a decrease in the earnings per share, but to compare apples-to-apples even we had the same share count, our earnings per share would be $0.35 significant increase. It will take albeit of time to see the transportation of the growth in our fleet, there is a lag between raising the equity and the retention taking delivery of the vessels to be constructed this year and the next. Let’s move to Slide 10, looking at our balance sheet, we can see significant changes from last year mostly due to the net proceeds receiving from the follow-on offering on February. As of March 31, we maintained a healthy cash balance of $121.3 million, including restricted cash compared to $92.04 million at the end of 2013, and that is after having spent over $150 million on investments over the past 12 months for deposits and vessel acquisitions. As of March 31, we had $72.3 million in advances for vessels under construction for 17 new eco vessels delivering by 2015 and $694 million in vessels book values. Our total assets therefore increased from $851 million to $898 million at the end of the quarter. In terms of liabilities, the current portion of our long-term debt that is what loan repayments are scheduled over the next 12 months, margin increased to $42 million from $41.2 million at the end of last year. In the previous quarter results, we have some of our debt related to five vessels maturing with the year and we have to refine to the loan payments of $11 million and $22 million in April and July respectively. We concluded the negotiation with the banks and refinance the aforementioned amounts for the next five years. As of March 31, our long-term debt slightly increased to $317 million as a result of our total debt stands at $359 million versus $353 million at the end of last year. We will continue to maintain a moderate leverage over the next couple of years. So that by the end of 2014, we expect to have total debt below $380 million and by the end of 2015, with all 17 of our new eco LPG contract vessels will have been delivered, we expect to have around $500 million of total debt. At the same time, our total assets which are positive $1 billion mark. Regarding the 17 eco LPG vessels that we have contracted, I’m pleased to say that we saw a lot of interest from our existing lenders and new ones to finance them. The levels we envisioned 60% to 70% finance, we have already committed 16 out of the 17 and are making progress in discussing for the remaining one. Now please turn to Slide #11. There are operating highlights for the first quarter of 2014. In terms of fleet data, our fleet consist today of 43 vessels. We have an average of 42.04 vessels in the first quarter of 2014 compared to 37 vessels for the same period of last year. The total number of voyage days increased to 3,750 from 3,307 last year. From the 3,750 voyage days for the fleet in the first quarter of 2014, 3,033 was spot market days, so we have considerable decrease in the number of spot days compared to last year’s 518. While our spot exposure no significant at this point, we intent to keep it at the same levels. In terms of our operational utilization ratio our percentages at 98.3%, an increase from 95.5% last year and it’s mainly due to the longer fixed employment of our vessels compared to last year. In terms of our average daily results of our average time charter equivalents rates was $9,720 per day compared to $9,601 per day for the same period last year. The raise in the time charter equivalent rates was again due to the firmness in the spot markets during the quarter. Our daily operating expense monthly increased of $4,461 per day per vessel compared to $4,133 per day per vessel for the same period of last year at 7% increase. And our total vessel operating expenses was $4,637 per vessel per day compared to $4,307 per vessel per day last year, a 6% increase that were considered to be in the operate of the regular annual increase that we would expect. We still operate comfortably above recommended levels in terms of income and cash flow. I will now hand it to Harry Vafias, who will discuss the market and industry outlook.
Harry N. Vafias: Slide 12, this is an important slide as it shows what differentiates LPG Handysize sector from other LPG sizes and segments. You can see how the pictures changes favorably in the smaller LPG segment where the order book is relatively much smaller to the existing fleet. The Handysize pressure at LPG order book that’s highlighted in this bar chart is about 7% of the existing fleet and the majority part of it is contracted by StealthGas, which is a dominant player in this market. Additionally in the adjacent pie chart, we see the age distribution of the small LPG fleet. A key characteristic in the fleet distribution is that older vessels are a significant part of the total tonnage. A lot of these older vessels cannot compete for employment with our newer fleet as they do not maybe appropriate venting requirements. About 18% of the fleet is older than 31 years, so there is a substantial amount of scrapping capacity and the event of the decreasing rates. The fleet profile of the smaller vessel segment that we operate over has better fundamentals than the bigger vessel segments. Slide #13. What we can say about the LPG shipping market that we operate in comparison to the other shipping segments is that it has small freight rate volatility and few serious pure-play established companies. Rates do not fluctuate widely and that gives us downside protection. Historical rates range between $7,000 a day during the bottom and $13,000 a day during the peak. And now the positive characteristic is that when the markets are becoming hot, we should not expect a rush in new orders from speculative players since Japanese yard building ships are now full until the end of 2016 and Chinese yard that have ample capacity don’t build these vessels. Slide 14, when large-scale U.S. projects materialize, rate are expect to increase. We cannot predict the exact development of the future time charter rates, but we can present different scenarios with the following sensitivity tables. This slide demonstrates our key development over time and how our company’s results are affected when the time charter rates increase. 2016 will be the first full year that we operate with our full fleet of 60 ships including the new buildings and order. In this year, our company’s EBITDA results will potentially grow to $150 million if the average daily time charter rates increase to our medium case scenario. Since our company has over $150 million in cash, we expect to invest further in our core LPG segment, given the strength of this market. In the second table, we assume that we have contracted 10 additional LPG vessels, gradually delivering in 2016, pushing the total fleet of StealthGas to 70 ships. In this case, under a strong case scenario, our company’s EBITDA results will potentially grow to $240 million for the full-year of 2016. Slide 15. I would like to conclude this presentation by saying that we remain optimistic about the core strategy of the company that is investing in modern vessels to grow and renew the fleet. Expectations on the LPG market, its future evolution on the U.S. basis and also on a global framework has drawn the attention of significant investor interest in our markets. While we offer an attractive price in trading on is big discount to our peers, will still offer one of the best ways to take advantage of the future expected growth in the LPG market is a fast expanding, quality focused new building program. As the CEO of StealthGas, the first pure LPG shipment company to be listed in the major U.S. stock market, I would like to take a moment to share our product and our assets have grown from a small base in 2005 to over $1 billion when all our new buildings deliver. At this point the industry fundamentals remain positive and depict an increase in LPG trade over the next two years. We want to take full advantage of our leading position and we still have our sites at opportunistic growth. So we intend to use a percentage of replacements we concluded over the last few months, not for debt repayment and nor for vessel acquisitions that have already announced, but for further growth. We already have committed finance for 16 out of our 17 new eco vessels and as you can see with a cash balance of over $150 million today including the latest proceeds, we can comfortably meet these requirements and in fact we are looking for additional acquisitions. We are optimistic for the next two to three years and we have a largest and highest quality LPG fleet, we look forward to in the future. We have now reached the end of our presentation. We would like to open the floor for your questions. So operator, please open the floor. Thank you.
Operator: Thank you. (Operator Instructions) We’ll now take our first question for Michael Webber from the company Wells Fargo. Please go ahead. Your line if open.
Michael Webber – Wells Fargo Securities LLC: Hey, good morning, guys. How are you?
Harry N. Vafias: Hi, Michael.
Michael Webber – Wells Fargo Securities LLC: Hey, just a couple of quick questions from me. Harry, you did a good job kind of laying out where rates could go and what that could mean from an EBITDA perspective and clearly it seems like we are still mid cycle from a rate perspective. But when you translate that to asset values, do you think that asset values within the space are starting to reflect rates that are a bit beyond where we are at right now, where we have started to see a degree of inflation there or is there a degree of parity?
Harry N. Vafias: Very good question Michael. I think it’s – the answer is two-fold, I think, yes, we are seeing values firm a bit for modern assets, but it’s not only the expectation of better rates, it’s also a lack of prompt slots, so people that need prompt ship or a new building with some delivery have to pay a premium to get it basically.
Michael Webber – Wells Fargo Securities LLC: Right, right. If I translate that to your NAV, right, would you mean that NAV is reflecting to a degree a bit of the firming in rates already?
Harry N. Vafias: I mean I haven’t done the latest calculations on our NAV, but we will hopefully see we’re trading at a very, very big discount on our NAV if you take the values of our ships plus the deposit space on all these new buildings, plus the cash at hand.
Michael Webber – Wells Fargo Securities LLC: Right. And how do you think about it, is that – you and I talked about this offline in the past, but considering that discount to NAV, how do you think about, I don’t know how do you kind of prioritize ways to maybe fix that and on kind of the flip side of that coin, obviously if you’ve got a high quality growing fleet that is trading at a discount to NAV, I’m sure you get approached on a pretty regular basis around M&A opportunities considering that value. How do you guys think about that today and has that evolved at all in the past couple of quarters as we’ve seen some other companies come public in the U.S. in the LPG space?
Harry N. Vafias: Yes, I think we’ve done as you know well, a lot of hard work to push the evaluation up. I mean don’t forget that two years ago we were trading at only $6 and we had only one analyst covering the company and we were a nano cap and we had a very small daily share volume. So I think we’ve done over the last two years, not only we grew the company and added a lot of new executives to help that, but the stock price went from $6 to $10 or $11, which is hopefully still a discount to NAV, but much closer to NAV.
Michael Webber – Wells Fargo Securities LLC: Yes.
Harry N. Vafias: We’ve got seven or eight analysts now covering the company, which I think is very helpful. And obviously now we have comps, because as you remember very well, till when was it 18-months ago we didn’t even have comps, so people didn’t spend a lot of time to analyze totally the company and that was one of the reasons I think that we were so undervalued and so underestimated, I think now we’ve more comps out there. People can obviously do their math, do their comparison and of course invest depending on the risk appetite and depending on what they want to do and if they are short-term players or long-term players.
Michael Webber – Wells Fargo Securities LLC: Sure, that make sense and just a couple more for me and to kind of come back to that point, at the end of your deck you just do an evaluation table kind of highlighting that discount to NAV and with the majority of the peer groups trading at premium in terms of M&A approaches and things like that, I know you cant get into too much detail. Has that picked up recently as some these other players have developed pretty strong currency, may be even the odds of M&A but has the activity picked up a little bit on that end or no?
Harry N. Vafias: As you know we are very, very open minded, the people are very flexible people, obviously if we get approached for M&A deal or for some that wants to buy the (indiscernible) of the company at a very good valuation, hopefully we will definitely discuss it at board level definitely.
Michael Webber – Wells Fargo Securities LLC: Okay, fair enough. One more for me and I’ll turn it over and it could just be I guess reading a bit too much into it, but if I remember correctly, the last couple calls, you kind of hinted or talked about the possibility of stepping up into some more of your assets as a use of capital and then I believe in this release and then its actually in the deck, but it seem like you kind of have gone on your way to kind of imply that you will staying in your lane specifically within the current sizes. Is that a function or just the returns within your current space or still better than anything that’s a bit larger or are we reading too much into that?
Harry N. Vafias: And you outlook nearly there meaning that yes I mean we will still be investing in our core segment and that’s the segmented in what we’ve been for the last 10 years, but obviously being now quite a large company with 60 ships we need to look at alternatives and we need to look at how to serve our customers better. So if we have customers wanting us to do something slightly bigger we are not talking about VLGCs but slightly bigger ships. And we think there is some added value of giving comprehensive transportation services for the medium haul voyages and the short haul voyages, yes we will do it, but the core fleet will definitely be what you already have.
Michael Webber – Wells Fargo Securities LLC: Okay, but no change of that philosophy recently quarter-over-quarter since the start of the years basically, but the same position you have been in for a while with regards to that.
Harry N. Vafias: Yes, those strategies are same, meaning that if you find the good opportunity in a slightly larger ship we will take it.
Michael Webber – Wells Fargo Securities LLC: Okay, great perfect. Thank you very much. I appreciate the time.
Harry N. Vafias: Thank you Michael.
Operator: Thank you very much. We are now going to take our next question from Jon Chappell. for the company Evercore. Please go ahead, your line is open.
Jonathan Chappell – Evercore Partners: Thank you. Good afternoon Harry.
Harry N. Vafias: Hi, Jonathan.
Jonathan Chappell – Evercore Partners: I want to talk a little bit about the competitive landscape in your particular niche market, obviously epics made a pretty big push in the last year and half or so. If you look at the rest of those fleets on that Slide 2 that you presented, obviously some are captive or some traders, but are there any opportunities to kind a consolidate in a bigger way by taking maybe the seventh, eighth or ninth player in your market and rolling it up. And how do you kind of compare that to the new building opportunity where obviously you will be able to watch the construction of your own ship. From the start, but on the other hand wouldn’t want to add too much to the order book in a pretty delicate balance of supplying and demand.
Harry N. Vafias: Yes, I mean you know me Jonathan I never say no to anything, we firstly analyze any given opportunity and then we take a decision, but you have to remember that A, we don’t buy old ships and B, we don’t buy Chinese built ships. So if you take all ships and Chinese built ships out of the list in slide 2, there is very little left. So to be honestly with you, unless we find a capital of second hand ships here and there, the only way to grow is with new buildings fortunately or unfortunately from depending on what point of view you have.
Jonathan Chappell – Evercore Partners: Okay and if you think about the net impact to your fleet and also the net impact on the industry you obviously have some elder vessels as well would you look to retire older ships as you start to take deliver either of your 17 new builds that are on order today, or as you potentially order more new buildings for delivery in maybe 2016 and beyond? 
Harry N. Vafias: I think we’ve discussed that extensively, I said before that if the ships are debt free or have a little debt on them and make money during the whole year, I mean, obviously we are going to lose some money in the summer because of the softness and going to make more money in the winter, but they are all basis are cash flow positive we actually retire them I know they are old ships, they might have higher running costs, but if at the end of the day they provide profitability for company we will not sell them, if we see that the market softens or that the charters become even stricter and they cannot touch those issues that we have faced with longer idle time and lose, of course we will sell them for scrap, obviously but for as long as the ships make money I think it’s a pity to let them go.
Jonathan Chappell – Evercore Partners: Okay. One of the issues last year that led to some volatility in the earnings was fleet utilization there is repositioning cost and what not, if I heard Stavros correctly. There is no more drydockings this year; almost all of your shifts are on charters with a few re-chartering this year. Should we expect the first quarter utilization to be repeated throughout the remainder of this year and therefore look very long relative to some of the volatility last year?
Harry N. Vafias: Yes and no. There is always summer softness that’s the state of the LPG market; I can’t do anything obviously about what. Yes, we have been successful of fixing as you remember not of our older ship, not all of them, but lot of our older ships on period so that gives us some coverage, but I don’t expect Q2 or Q3 to be a strongest one, obviously that could not happen, because Q1 was winter and Q3 is the heart of the summer, but I do believe though with the information we have right now that Q2 and Q3 will be stronger than Q2 and Q3 of last year that I can I think I can say.
Jonathan Chappell – Evercore Partners: Okay, that’s good. And then finally, we’ve noticed a change in the short-term debt Stavros ran through the refinancing earlier this year, but kind of quickly we are just hoping to, if you could potentially repeat exactly the refinancing that took place and what impact that may have in the debt amortization schedule going forward?
Harry N. Vafias: It was a total of $33 million that we refinanced in a very fast way and have been extended for five years.
Jonathan Chappell – Evercore Partners: Okay, similar terms?
Harry N. Vafias: No, margin has to be higher I think.
Jonathan Chappell – Evercore Partners: Right. Okay, thanks a lot Harry.
Harry N. Vafias: Yes, because as you remember, if we did those loans back in the good times, we are getting back then as you remember with a LIBOR plus 70 basis points. We still get that today below what our competitors get, but obviously 70 basis points is unheard of.
Jonathan Chappell – Evercore Partners: Right, right yes that makes sense. And can you just remind us which facilities those were?
Harry N. Vafias: It was for how many ships. Five ships with BBB and NIBC.
Jonathan Chappell – Evercore Partners: Perfect. All right, thank you so much Harry.
Harry N. Vafias: Thank you.
Operator: Thank you. We are now going to take our next question from Taylor Mulherin from Deutsche Bank. Please go ahead your line is open.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Good afternoon, Harry. How are you?
Harry N. Vafias: Hi, Taylor.
Taylor Mulherin – Deutsche Bank Securities, Inc.: So, I just wanted to ask a question about raising capital going forward. So, obviously you’ve done two equity raise so far this year. And just trying to get better senses of the thinking behind those versus focusing more on the debt financing. The reason I’m thing about this is, you mentioned you are obviously trading a pretty substantial discount to NAV and looking at your leverage from this quarter, it’s pretty small and so just trying to get your thoughts behind kind of how well those things work together?
Harry N. Vafias: Yes, as you know first of all the majority of these things would reverse inquiry, which means we do not ask for the money, the money came to us number one. Number two, if you see the prices offers was done, they were done at a tiny discount to that base closing twice. So, we did it of course with discount to NAV, but to close zero discount to that base closing terms. Number three, we brought in some strategic investors, some very, very important long-term investors, which I think is good for the company going forward including myself, my family bought which shows that I’m aligning my interests to shareholders. So that’s, I think another positive factor. Last but not least, I think we discussed it. Obviously now we are underleveraged because we have not put the money to work, but this is exactly what happened last May when we raised about $130 million and by September we have not announced anything and some investors lost patience and sold stock and the stock fell at $10. And in October, if I remember correctly, we announced a lot of acquisitions, both second hand and new buildings, and people realized that indeed we are not having summer month vacation. We were spending the whole summer finalizing deals and putting the money to work. So this is the exactly the same case again. We have nothing to announce at this moment, but we are working full speed as we always have. And when we’re ready we obviously are going to make announcement. I think people who buy Stealth Gas stock don’t only buy because of its very, very good value, but they buy it because of the earnings potential of all these new buildings and what I’m going to do with the money that we raise. That’s why people are buying the stock. So, I think we’ve being patient for one month or two months. In the end of the day it’s not a big thing to ask, if again we hopefully going to find very, very efficient and clever ways to put the money to work.
Taylor Mulherin – Deutsche Bank Securities, Inc.: All right, that makes sense. The other one I had was, (indiscernible) the idea of a dividend in the past, but you didn’t really put too much detail around or any sort of timeline or anything like that. So given that you’re still very firmly in expansion mode, just wanted to get an idea of how those two things could eventually, potentially work and balance with each other or if that’s something that would only happen if you kind of looked at the market and said there are really aren’t too many growth opportunities right now and kind of wanted to use cash return to the shareholders, that sort of thing.
Harry N. Vafias: We have been asked the same question before and we said by Q1 or Q2 2015, when the majority of the new billings would be in the quarter, if they generate the cash that we expect to generate then we will go to the Board shortly and ask for the earning statement of the dividend. If obviously all ship tried less money than we expect, then obviously we cannot go to the Board and ask for a dividend. So I guess you have to be patient for six to eight months.
Taylor Mulherin – Deutsche Bank Securities, Inc.: Makes sense. Okay. Thanks for your time, Harry.
Harry N. Vafias: Thank you.
Operator: Thank you. We are going our next question from Jeff Geygan from the company Milwaukee Private Wealth Management. Please go ahead. Your line is open.
Jeff R. Geygan – Milwaukee Private Wealth Management, Inc.: Thank you. Good morning Harry.
Harry N. Vafias: Hi, Jeff.
Jeff R. Geygan – Milwaukee Private Wealth Management, Inc.: Just a quick comment and one question. I think the slide that you put for today was excellent, great detail. Thank you for that. And my question, you didn’t make any particular investment in your product carriers. Can you please give us an update on those and provide any color that you might with respect to how those vessels will play into your future business plan and as your obvious focus is on the LPG piece of your business?
Harry N. Vafias: Yes, there’s not much to show are in the product tankers. They are fixed until 2016 at above market rates. We’re very happy for that. We have no plans to increase the fleet. We are an LPG company. That’s a side business, if I can say so. In 2016, depending on market conditions we will oversell them or we fix them if we think that’s going to be cash flow positive and beneficial for the bottom line.
Jeff R. Geygan – Milwaukee Private Wealth Management, Inc.: All right, thanks. I appreciate. And just a point of reference here. All the statics you’ve given on the fleet across the industry exclude any Chinese connection, is that correct?
Harry N. Vafias: No, I don’t think so. I think I haven’t – this is not our own statics result from external brokers, but I don’t think they exclude Chinese ships.
Jeff R. Geygan – Milwaukee Private Wealth Management, Inc.: So the Chinese ships in facts are included in those numbers?
Harry N. Vafias: Yes. I think so.
Jeff R. Geygan – Milwaukee Private Wealth Management, Inc.: Okay, great. Thank you.
Harry N. Vafias: Thank you.
Operator: We will now take our next question from Keith Mori from the company Barclays. Please go ahead. Your line is open.
Keith S. Mori – Barclays Capital, Inc.: Hi, good morning, Harry.
Harry N. Vafias: Hi, Keith.
Keith S. Mori – Barclays Capital, Inc.: A lot of my questions actually have been answered, but I had one. We talked to a lot of positive about the market. We continue to see the supply and demand kind of drive rates higher maybe over the next year or two. What’s the risk that a lot of capital comes into the market? You raise some capital looking at potentially ordering more ships. What’s the risks that that kind of weighs on rates going higher here over the next two years? Just the demand really need to ramp up in year two, what’s kind of your outlook the risk that that could happen?
Harry N. Vafias: For me the risk is very, very minimal because as I said before this is not dry bulk where you can suddenly raise $1 billion and go north of 20 and 40 capes in one go. This is a business which is very niche, the shipyards, the majority of the shipyards do not build those ships, and the shipyards that do build the ships are now booked until 2016. So, even if you have all the money in the world, you have to wait in line and get your ships in 2017. So I’m not worried because there’s not a liquid and vast market like the dry or other bigger segments. So I’m not worried about that.
Keith S. Mori – Barclays Capital, Inc.: So you right now, you’re negotiations or your conversations with the ER to imply that new builds when necessarily be delivered to maybe 2017 or beyond, in your slide…
Harry N. Vafias: That depends, that depends, if I have done – if I have options or if I have held discussions before and my exercising of those rights is now may be get 2016, but yes, if you start from scratch and you go out of the (indiscernible) your delivery will be Q1 or Q2 2017.
Keith S. Mori – Barclays Capital, Inc.: Okay and so maybe you could refresh us, do you sales guys have any option at the new build yards or at the yards for…
Harry N. Vafias: No, that was a theoretical – that was a theoretical reply.
Keith S. Mori – Barclays Capital, Inc.: I guess I’m trying to take time here on Slide 14, or maybe I’m just reading too much into you show potentially 10 extra vessels gradually delivered. I mean, should we think of those as maybe then second hand ships, given what we just talked?
Harry N. Vafias: Good comment, good comment, we did this because we didn’t actually say that all this will be new buildings obviously we cannot get 10 new buildings for 2016 out of the blue as we just discussed. So, this was mostly usage of the extra money that we have in place. So, if these were new buildings then probably that would apply for 2017. If we say this should deliver 2016, then probably two thirds must be second hand and one third must be new buildings.
Keith S. Mori – Barclays Capital, Inc.: Okay that’s helpful. And then I guess one more from me, a little bit on the quarter here. It seems that the cost structure was a little bit higher than we anticipated, vessel OpEx on a daily basis was around 4,500, and if I heard the comments correctly, I think, we should think about the cost structure staying where it is today. So I mean is that – it’s a little bit higher than I think we’ve previously spoke about on calls. How should we think about this going forward?
Harry N. Vafias: Yes, it was mostly due to the old vessels as always don’t forget that all these expenses, repairs and spare parts, and so on and so forth, most of it not all of course, most of it is due to the old vessels. Hopefully now with 70 new technology ships and slowly, slowly the exits of the older ships, of course we expect there are in course to say same or go down, obviously.
Keith S. Mori – Barclays Capital, Inc.: So we should think like run rate from around 4,500 should be the right number to go from here?
Harry N. Vafias: To be conservative I would use the same numbers, yes.
Keith S. Mori – Barclays Capital, Inc.: Okay, all right, Harry well, thanks for the time. I’ll pass it on.
Harry N. Vafias: Thank you, Keith.
Operator: Thank you. We’re now going to take our next question from Omar Nokta from the company Global Hunter Securities. Please go ahead, your line is open.
Omar M. Nokta – Global Hunter Securities, LLC: Thank you. Hi Harry, I just actually had a couple of follow-up questions on the chartering profile. I know in the release, I’m not sure, I joined the call later, I apologize if you addressed this already. But I know in the release you mentioned that you deployed several ships on long-term charter, any of those incremental to which had previously disclosed, I think with five or six ships previously put on may be six year or eight year contracts. Is there anything in addition to that you’ve done since then?
Harry N. Vafias: Long no, we’ve done a few shorter term contracts yes. From our last announcement about those ships on the eight year contracts we haven’t done any very long, but we have done a lot and lot, we have done a few that are short and medium term.
Omar M. Nokta – Global Hunter Securities, LLC: Okay would you be interested in going long on some of the especially on the say the latest new building, which was about saying that 7,200 cubic meter which you’d put away for eight years, would you be interested in going on again on that one?
Harry N. Vafias: Sorry on which one?
Omar M. Nokta – Global Hunter Securities, LLC: I guess you’ve currently got the Eco Stream, the 7,200 cubic meter one and you have another sister ship to that one that’s still under construction and those two you deployed on those long term contract.
Harry N. Vafias: Correct.
Omar M. Nokta – Global Hunter Securities, LLC: I think you got a third one that you just ordered wondering if you are putting that one on long term charter as well?
Harry N. Vafias: But we have 7 new buildings, I’m not sure, I don’t understand the question, what do you mean, our charting strategy is mixed and staggered meaning that some ship for the fixed rate yes, some ships they will be fixed for two and three years and some ships will be fixed for one year. It’s not about the size of the ship it’s about that we need to some ships open if open sooner if we expect the firming in the spot market and therefore the period rates.
Omar M. Nokta – Global Hunter Securities, LLC: No, I understand that thank you, I was just wondering, if there was an opportunity if obviously you got a pretty big order book and what I was just wondering was, are you getting interest from third parties to come in and take these vessels from you long term, and now I was just wondering because you have already fixed the first two of those 7,200 size, I was just wondering since you ordered a third one most recently I was wondering if that was maybe against the expectation of being able to deploy that one on a long term charter as well.
Harry N. Vafias: I will give an example, Omar which I think we’ll answer your question. We fix two ships about 15 year old for eight years I hope that answers your question.
Omar M. Nokta – Global Hunter Securities, LLC: All right, thank you Harry.
Harry N. Vafias: Thank you, Omar.
Omar M. Nokta – Global Hunter Securities, LLC: Yes, just one quick follow-up I just want to make sure I had the numbers right. I know in the annual filing you had $197 million or so and then finance for 14 out of the 17 new buildings and I think in your commentary you mentioned that you’ve been able to secure two of the remaining three for about $40 million. Is that about right?
Harry N. Vafias: Omar, sorry about that I don’t understand the question, it’s all in the script I mean in the slides everything is there, if you need something extra please mail us because we don’t have information in front of me.
Omar M. Nokta – Global Hunter Securities, LLC: All right, thank you.
Harry N. Vafias: Thank you.
Operator: Thank you, and now we are going to take our next question from George Burmann from the company J.P. Turner. Please go ahead. Your line is open.
George Burmann – J.P. Turner Co.: Good afternoon (indiscernible). 
Harry N. Vafias: Hi George.
George Burmann – J.P. Turner Co.: Thanks for taking my call. Harry, very nice quarter. It looks like you got the company set for the upcoming boom in the LPG market?
Harry N. Vafias: Let’s see what happens.
George Burmann – J.P. Turner Co.: I’ve got one quick question knowing the industry and knowing what’s going on in the United States when do you expect this export boom to really happen from the U.S.?
Harry N. Vafias: I’m in Greece you are in the U.S. so I think you know better than me.
George Burmann – J.P. Turner Co.: I’m a land animal.
Harry N. Vafias: According to the analyst and of course I just read what you read. I’m not U.S. based and I’m not a shareholder of Paragon enterprise and these guys, but from what we hear all of this that the peak of these excess would been 16 and 17 from what I hear.
George Burmann – J.P. Turner Co.: Okay so it would basically coincide with when the LNG export facilities they all come in online. Is that about sort of when you think there is going to be a lot of demand for export for LPG and that sort of thing?
Harry N. Vafias: All our ship sizes we have discussed would be delivered by 2016 so hopefully if that’s the case all our ships will be available for charter at that time.
George Burmann – J.P. Turner Co.: Okay, and there is no problem you can have them delivered to the U.S. ports than right away because you have most of your ships currently operating in Asia and South America right?
Harry N. Vafias: Yes, so what our ships can go anywhere we want them to go.
George Burmann – J.P. Turner Co.: Okay, good luck for the future.
Harry N. Vafias: Thank you, George.
Operator: Thank you. We are now going to take our next question from Adam France from the company 1492 Capital. Please go ahead, your line is open.
Adam M. France – 1492 Capital Management LLC: Hi Harry thank you for squeezing me in here. Could you repeat what you said, did I hear you say that you fixed a 15-year old ship for eight years?
Harry N. Vafias: 14 year old to be correct. 
Adam M. France – 1492 Capital Management LLC: 14 year old ship for eight years okay and…
Harry N. Vafias: What bother?
Adam M. France – 1492 Capital Management LLC: No, no that fantastic any can you comment on the rate?
Harry N. Vafias: No, I cannot comment on the rate because I actually don’t remember the rate to be honest with you, I don’t have this information in front of me, but just thinking as we fixed the 14 year old freight yes, just that I think it’s a very, very big successful chartering team I think.
Adam M. France – 1492 Capital Management LLC: Okay and just looking at your fleet, how many more opportunities amongst your older ships could there be for a similar size deals?
Harry N. Vafias: Not, many.
Adam M. France – 1492 Capital Management LLC: Okay, very good thank you
Harry N. Vafias: Have to be conservative then we know that the good charters and the all majors want the modern ships, so we cannot believe that all our old ships will go on long term charters that would be completely unrealistic.
Adam M. France – 1492 Capital Management LLC: Very good.
Operator: We have no further question.
Harry N. Vafias: Do you have any questions on them?
Operator: There are no further questions at the moment sir.